Operator: Good morning, and welcome to Otis Worldwide Corporation's First Quarter 2025 Earnings Conference Call. This call is being carried live on the Internet and recorded for replay. Presentation materials are available for download from Otis Worldwide Corporation's website at www.otis.com. I'll now turn the call over to Rob Quartaro, Vice President of Investor Relations. Please go ahead.
Rob Quartaro: Thank you, JL. Welcome to Otis Worldwide Corporation's first quarter 2025 earnings conference call. On the call with me today are Judy Marks, Chair, CEO and President, and Cristina Mendez, Executive Vice President and CFO. Please note, except where otherwise noted, the company will speak to results from continuing operations excluding restructuring and significant non-recurring items. A reconciliation of these measures can be found in the appendix of the webcast. We also remind listeners that the presentation contains forward-looking statements which are subject to risks and uncertainties. We refer you to Otis Worldwide Corporation's SEC filings, including our Form 10-K and quarterly reports on Form 10-Q, which provide details on important factors that could cause actual results to differ materially. Now, I'd like to turn the call over to Judy.
Judy Marks: Thank you, Rob. Good morning, afternoon, and evening, everyone. Thank you for joining us. We hope everyone listening is safe and well. Before discussing our results, I'd like to take a moment to recognize an important milestone. Earlier this month, Otis Worldwide Corporation celebrated our fifth anniversary since returning as an independent public company. The last five years have been challenging and rewarding, and I'm proud of our colleagues and our many accomplishments. Five years ago, when we were completing our spin-off, the world was in the midst of a global pandemic. While the pandemic posed many challenges, it also provided an opportunity to demonstrate the impact of our strategy, the resilience of our business, and the commitment of our colleagues to serving our customers and continuous improvement. We have made tremendous progress since those early days, and our shareholders have been rewarded. Since 2019, we've expanded adjusted operating profit margins by 220 basis points and grown adjusted EPS over 70%. We've more than doubled our dividend, and together with share repurchases, we have returned $6 billion of capital to our shareholders. I'm proud of our achievements over the last five years, and thankful for our 72,000 colleagues who demonstrate our absolutes each and every day. We've laid a strong foundation and I couldn't be more excited about the future opportunities ahead of us. Turning to Q1 highlights on slide three. Otis Worldwide Corporation started the year with a solid first quarter, driven by the resilience and strength of our service-driven business model. First quarter organic sales were flat as strength in service was offset by a decline in new equipment. Service organic sales grew 4% with growth across all business lines. Modernization orders increased 12% and we ended the quarter with a backlog up 14% at constant currency. Our maintenance portfolio continued to grow 4% while we also drove 40 basis points of adjusted operating margin expansion compared to the prior year. Solid growth in service, coupled with margin expansion, enabled us to grow adjusted EPS 5% in the quarter. We generated $186 million in adjusted free cash flow, and completed approximately $250 million in share repurchases. And yesterday, we announced an 8% increase in our dividend which brings our cumulative dividend increase since spin to approximately 110%. During the quarter, we were honored to be recognized by Fortune as one of the world's most admired companies and to be named to Wall Street Journal's best managed companies list. These prestigious recognitions reflect our colleagues' commitment to serving our customers and living our absolutes every day. Turning to our orders performance on slide four. New equipment and modernization combined orders grew 2% driven by strength in modernization. The combined backlog was relatively flat sequential improvement from the fourth quarter. Our total backlog including maintenance and repair, remains at historically high levels and positions us well for future quarters. New equipment orders declined 1% in the quarter. Americas continued its strong orders performance from the second half of 2024, growing mid-teens in the first quarter. This was driven by mid-teens growth in North America and greater than 20% growth in Latin America. Demand in Asia Pacific also remains robust, with orders growth greater than 20% primarily driven by India, and Southeast Asia. This strength was offset by continued weakness in China, where orders declined greater than 20%. This was in line with our expectations and we continue to expect the new equipment market to stabilize later this year. New equipment orders in EMEA were down mid-single digits partially due to a tough compare with declines in Europe offsetting strength in the Middle East. Our new equipment backlog at constant currency was down 3% versus the prior year, although excluding China, it was up mid-single digits. Modernization orders grew 12%, with China a notable standout and our quarter-end backlog increased 14% at constant currency. Order growth was widespread, growing orders greater than 20%. We are just at the beginning of a projected multiyear growth cycle globally, in modernizations, driven by aging of the 22 million global unit installed base. With 8 million units already in the prime modernization age, and that number forecasted to grow mid to high single digits for several years, we see a significant opportunity ahead in all four regions. Our service portfolio grew 4% with growth across all of our regions. China grew low teens, Asia Pacific grew mid-single digits, and EMEA and Americas grew low single digits. Before moving to financial results, I'd like to highlight several exciting projects from the first quarter. In the Americas, one of our standout projects is the modernization of three elevators that are expected to provide safer, and more reliable transportation to over 600,000 annual visitors to the iconic Christ the Redeemer in Rio de Janeiro, Brazil. Our commitment to safety and excellence will enhance the visitor experience while preserving the monument's legacy. In Stockholm, Sweden, Otis Worldwide Corporation is embarking on an exciting project to modernize 29 escalators for a train. The operator of the Arlanda Express Rail Link. The vital connection links Stockholm City Center to Arlanda Airport. The project will revitalize escalators initially installed by Otis Worldwide Corporation in the late 1990s bringing them to modern standards. Modernization was both an efficient and sustainable choice for this customer as Otis Worldwide Corporation can enhance performance, while minimizing disruption for passengers in this essential link for the Swedish capital. We continue to excel in the new equipment business, by demonstrating our strong performance and reliability. Otis Worldwide Corporation has once again been selected by China's Hangzhou Metro to supply 145 escalators and 26 IoT connected elevators for the new line three. This addition brings the total number of Otis Worldwide Corporation units in the city's metro network to over 1,700, across nine subway lines. And in India, Otis Worldwide Corporation has proudly secured a landmark contract to supply over 470 elevators and escalators to the Prestige Group. Spanning five major cities. The project includes 28 double deck elevators and high-speed elevators designed for what will be India's tallest commercial tower. Turning to our first quarter results on slide five. Otis Worldwide Corporation delivered net sales of $3.3 billion with organic sales flat year over year. Adjusted operating profit excluding a $16 million foreign exchange headwind increased 3% with growth in service, offset by a decline in new equipment. Adjusted operating profit margin expanded 40 basis points to 16.7%. Adjusted EPS grew 5% or $0.04 in the quarter with solid operational performance and the benefit of a lower share count. With that, I'll turn it over to Cristina to walk through our results in more detail.
Cristina Mendez: Thank you, Judy. Starting with service on slide six. Service organic sales grew 4% with growth in all lines of business. Maintenance and repair services grew 3% driven by portfolio growth. Positive price of 2% in maintenance, partially offset by mix and churn. Repair growth was muted in the first quarter, up low single digits due to timing of backlog execution. We expect acceleration in the balance of the year. Organizational organic sales grew 10% as we executed on our backlog. Growth was broad-based across all regions including high teens growth in China, and approximately 10% growth in Americas. Service operating profit of $537 million increased $29 million at constant currency. With higher volume, favorable pricing and productivity, including the benefits from uplift, more than offsetting higher labor and material costs, and mix and churn. Operating profit margins expanded 40 basis points to 24.6% in the quarter. Turning to new equipment on slide seven. New equipment organic sales declined 7% in the quarter as strength in EMEA and APAC were more than offset by declines in China and Americas. EMEA sales grew mid-single digits primarily due to strength in the Middle East, which grew greater than 20% while Europe was up low single digits. APAC grew approximately 10% with the strength across most of the region. Americas declined high single digits as we worked through last year's backlog. And lastly, we are continuing to work through China's lower backlog, with organic sales down greater than 20% in the quarter due to market conditions and strict credit controlling shipments. However, as Judy mentioned, we continue to expect the market to stabilize later this year with sales stabilization to follow in 2026. New equipment operating profit of $66 million declined $5 million at actual currency and $4 million at constant currency. Driven by the headwinds of lower volume and regional mix, that were partially offset by productivity including the benefits from uplift and our China transformation and lower commodity cost. Pricing was relatively flat. Operating profit margins increased 20 basis points to 5.7%. I will now turn it back to Judy to discuss our 2025 outlook.
Judy Marks: Starting on slide eight with the market outlook. Before discussing our updated 2025 outlook, I'd like to briefly discuss our global market expectations. In aggregate, our view is unchanged. We continue to expect global new equipment units to decline mid-single digits for the year. We have reduced our expectations for the Americas to down low single digits as uncertainty around global trade policies may cause project delays. In EMEA, our outlook is unchanged, with expected low single digit growth. Asia is expected to decline mid to high single digits driven by mid-single digit growth in Asia Pacific and an approximately 10% decline in China. As we previously mentioned, we continue to expect stabilization in late 2025. Turning to service. Last year, the global installed base grew mid-single digits reaching approximately 22 million units at year-end. We anticipate this trend will continue with mid-single digit growth in the installed base this year. We have good visibility into this growth given the installed base is driven by units sold approximately two years ago. By region, we expect Americas and EMEA to grow low single digits and Asia to grow mid-single digits. Taken together, we expect the global installed base to reach approximately 23 million units at the end of 2025. Turning to our financial outlook for 2025. We expect net sales of $14.6 to $14.8 billion which is an increase of approximately $450 million at the midpoint from our original guide, driven by favorable exchange rates. Adjusted operating profit is anticipated to remain between $2.4 and $2.5 billion, up $105 to $135 million on a constant currency basis excluding the impact of incremental US tariffs imposed in 2025. The majority of this impact is due to tariffs on products and components imported from China. Note that the impact of these tariffs is offset by more favorable foreign exchange rates at today's levels. It's important to highlight that our service business, which represents approximately 90% of our segment operating income, is largely insulated from the impact of tariffs. However, given the current tariff rates, we anticipate that our new equipment business will be adversely impacted. As you know, Otis Worldwide Corporation primarily sources and manufactures locally through our 17 factories around the world. Our factory in Florence, South Carolina primarily serves our operations in the US and Canada. For some components, however, there are no local suppliers, and we source parts from suppliers based in China. In addition, we import some lower volume products to the US. These lower volume products represented well below 1% of our total units sold in 2024. That said, if tariffs on our Chinese imports continue at current levels for the remainder of the year, we expect a negative impact of approximately $45 to $75 million to our operating profit in 2025 inclusive of our mitigation efforts. These mitigation efforts include customer and supply chain negotiations, as well as supply chain shifts to more favorable sources. It's important to note that we expect this impact to be temporary as our exposure is primarily through our existing backlog. For our new orders, we have adjusted contract terms and pricing. Furthermore, our global manufacturing footprint and standard product platforms give us the flexibility to shift production, and adapt to the most cost-effective model going forward. Please refer to slide fifteen in the appendix for additional details on tariffs. Turning back to our outlook. We continue to expect adjusted free cash flow of approximately $1.6 billion which we will primarily return to our shareholders through dividends and share repurchases. As a reminder, yesterday, we announced an 8% increase in our dividend bringing our cumulative dividend increases since spin to approximately 110%. Our share repurchase target for 2025 is unchanged at $800 million. Note that we completed approximately $250 million of share repurchase and we may continue to frontload our repurchases earlier in the year. I will now pass it back to Cristina to review the 2025 outlook in more detail.
Cristina Mendez: Thank you, Judy. Moving to our organic sales outlook on slide nine. We continue to expect organic sales growth of 2% to 4%, driven by a strong performance in our Service segment. Our new equipment organic sales growth outlook remains down 1% to 4%. However, we have refined our outlook by region. We now expect Americas to decline mid-single digits as we see project delays due to uncertainty around global trade policies. EMEA is expected to grow mid-single digits on the back of strong orders and ending backlog in 2024. Asia is expected to decline mid-single digits. And within Asia, we continue to anticipate strong growth in Asia Pacific offset by declines in China. Service organic sales are expected to increase 5% to 7% for the year. We have expanded the low end of this range given softer than expected repair execution in the first quarter. However, we expect repair to reaccelerate later in the year. We continue to target mid-single digit growth in maintenance and repair, driven by portfolio growth and pricing, partially offset by mix and churn. And we have increased our expectations for modernization organic sales, which are now expected to grow low teens driven by backlog execution through the year. Moving to slide ten. We have been transforming the way we work for nearly two years. Beginning with Uplift, which we announced in 2023. We made this bold decision from a position of strength as we saw an opportunity to unlock untapped value. And earlier this year, we began our China transformation program. We have made significant progress with both projects and we remain well on track. Through these initiatives, we are driving process efficiencies and enabling our field organization to better focus on serving our customers. In China, our transformation is positioning us to capture the large service and modernization opportunities. While right-sizing our new equipment operations from the current environment. Taken together, we expect Uplift and our China transformation to provide a competitive cost structure. And drive sustainable earnings growth. We continue to target $90 million of in-year savings in 2025 and $230 million of annual run rate savings by the end of the year. Turning to slide eleven. Despite macroeconomic uncertainty, we expect another year of solid profit and adjusted EPS growth, which is unchanged from our prior guide. Driven by the strength and the resiliency of our service-driven business. On a constant currency basis, and excluding the impact of tariffs, we expect adjusted operating profit to grow $105 million to $135 million fueled by our service business. On an actual currency basis, including the impact of tariffs, we expect adjusted operating profit to grow $55 to $105 million unchanged from our prior guide. As the impact from tariffs is fully mitigated by foreign exchange rates. Margin expansion is expected to be 50 basis points excluding the impact of incremental 2025 tariffs. Including tariffs, we expect margin expansion to be more muted, up 10 basis points due to contraction in the equipment margins. On the other side, we expect service margins to continue expanding as this segment is largely unaffected by tariffs. Our adjusted free cash flow and share buyback outlook remains unchanged. With free cash flow at approximately $1.6 billion and approximately $800 million of cash repurchases. Moving to 2025, EPS bridge on slide twelve. Our adjusted EPS outlook for the year is $4 to $4.10 per share. At the midpoint, this includes approximately $0.24 from operational growth. $0.05 of tailwinds from foreign exchange rates and a net $0.05 benefit from lower share count and higher interest. These are partially offset by a negative $0.12 from the incremental 2025 tariffs currently in place. While our overall financial metrics for the year remain generally consistent with our prior outlook, we acknowledge that the economic conditions remain uncertain. Including the impact of foreign exchange rates and tariffs. On the operational side, we have delivered a strong first quarter and our outlook remains positive. Mainly driven by the service business. We have taken a conservative approach, and we have recalibrated our operational outlook given new test repair growth in the first quarter. And the macroeconomic uncertainty that may impact demand. We remain confident in our service flywheel model. And as we have previously said, we are investing savings from Uplift into the business to drive service excellence and to accelerate growth. On the new equipment side, we continue to work on transformation to adapt our cost structure to market conditions. And at the same time, we are executing our backlog with headwinds from price and volumes in China. Regarding our adjusted EPS guidance through the year, we continue to expect the first half to be flat year over year with stronger growth in the second half. Maintenance results should remain relatively consistent through the year. Including improved repair sales. Adjusted EPS growth should step up in the second half due to execution of our modernization backlog, realization of cost savings from Uplift and China transformation initiatives, and improving trends in China and America's new equipment. With that, I will ask JL to please open the line for questions. Thank you.
Operator: Thank you. If you would like to ask a question, please press star one on your telephone keypad. Please pick up your handset when asked for your question. Thank you. Your first question comes from the line of Jeffrey Sprague of Vertical Research. Your line is open.
Jeffrey Sprague: Thank you. Good morning, everyone.
Judy Marks: Good morning, Jeff.
Jeffrey Sprague: Wow, Judy. Five years already. Can't believe it. Time flies. Good work here. Just back on the tariffs. I'm sorry. Is that a gross or it sounds like you're giving us a net number, net of your kind of counteractions. Can you give us a sense of what the gross headwind is that you're working against?
Cristina Mendez: Yeah. So, Jeff, this is Cristina. I can give you some color on that. That is impacts we are considering in the guide. So broadly speaking, that is not impacting our service business because the impact is coming from material purchases. When we look into the US, US buys $550 million of material purchases per annum. This is approximately 12% of the material purchases in the group. Out of that figure, $100 million comes from China purchases, another $100 million from the rest of the world, and the remaining is domestic purchases. So as you know, China is impacted with two kinds of tariffs. We have reciprocal that is 125% on top of the original 20% that were imposed at the beginning of the year. And section 232, that is 25% for steel and aluminum, on top of the 20%. So we calculate the annualized impact of China tariffs to be around $90 million. And the rest of the world at the moment is 10%, Canada and Mexico are mostly under USMCA, and this is around $10 million impact for us. So $100 million annualized. In terms of mitigation, we are working on many levers. We are working on supply chain, alternative sourcing, and we are also introducing commercial languages in our contracts in order to protect for the new orders that we are taking. So it's more the time of executing the backlog. So out of $100 million, excluding commercial, we expect to mitigate half and the other half will be mitigated through commercial.
Judy Marks: Yeah. Jeff, let me just add just a little more color on that just so you understand. We really experienced almost de minimis tariffs in the first quarter. And we know by project and by supplier when to expect things to enter the port. We're managing this job by job, so second through fourth quarter won't be identical. So you can't just kind of divide the sixty by three. And we are watching this job by job in case there are changes to the tariffs to ensure we don't end up paying tariffs that are then eventually, you know, brought down. So it's a really disciplined approach because it's not a lot of supply that's coming in from China. And we're monitoring it job by job.
Jeffrey Sprague: And are you just assuming you can't or contractually, you can't reprice backlog, or are there some counteractions that you are taking there that maybe you're not counting on yet in the guidance? So just what your degrees of freedom on the adjusting the backlog?
Judy Marks: Yeah. Listen. I think, commercially, we're having discussions, as you can imagine, with many of our major customers and our key accounts who understand the costs going up for us. And we've seen some flexibility in scheduling and some early gains, but it's too early to count on any of that. So we wanted to be able to provide what we think is the most realistic estimate with the tariffs we know today. Again, as Cristina said, they're covered in our outlook. And if any of them can be reduced, that'll drop through.
Jeffrey Sprague: Great. Thank you. Good luck with that. Thanks.
Operator: Next question comes from the line of Amit Mehrotra of UBS. Your line is open.
Amit Mehrotra: Thanks, operator. Morning, everybody. Just a quick follow-up on tariffs. Some of the pricing actions or commercial actions you're taking, are those in the form of surcharges or actual repricing just so I understand maybe how sticky it could be depending on what happens with respect to tariffs? And then just related to that, are you seeing any impact at the local level in China in terms of retaliation against US companies, any negative impact or any targeting of companies given the tensions?
Judy Marks: Yeah. Let me answer the second one first. I mean, thanks for the questions. And the answer is we are not seeing any overt targeting certainly of Otis Worldwide Corporation at this point in time. And we watch that closely. We continue to watch that closely and develop continue to develop relations at all levels of the government. And I was over there in March and actually was part of the meeting with President Xi and the China Development Forum as well as many party secretaries. So they understand how local we are, and we are local for local. In terms of the commercial actions, we have increased our prices. And, you know, we do that regularly as we watch economic factors where tariffs is just one of those. So we've increased our prices not just in new equipment, but on our spare parts that are part of our maintenance and repair line of business as well as modernization. So there's not a specific, you know, so that's all going forward. It's what Jeff asked about the backlog that we're working to mitigate right now.
Amit Mehrotra: Right. Okay. Very helpful. And then just a follow-up for me. So China orders, I guess, in the quarter are kind of doing what you guys expected them to do. There was an expectation that, you know, they would, you know, they would stabilize on your comp. Are you still expect that? And are you seeing any incremental weakness? And one of the things we noticed also is maintenance and repair. Is there anything on the price side that we should be watching? Because I noticed organic growth was, you know, I think, like, 3%, but maybe units were running a little bit above that. So maybe what the implication is for underlying pricing and maintenance and repair.
Judy Marks: Yeah. Let me take the China question, and Cristina will take the pricing question. We believe the China market was down 15% in the first quarter, which is actually sequentially better than the 20% it was down in the fourth quarter last year. We expect it to continue to be down 15% in the second quarter. This is playing out really how we thought the year would play out. And then we believe in the second half really, it'll be down 10%. So this is what we're seeing on the ground for new equipment. We are now saying that we believe the segment itself for 2025 will be approximately 375,000 units in China. But our team, again, is balancing value, price, and new equipment units for service stickiness. So, you know, it's all part of our service strategy to do that. Now I'll turn it over to Cristina on pricing.
Cristina Mendez: Yeah. On pricing, we continue our strategy of passing inflation to the in because we have the ability to do it in our contracts. But inflation this year is softer than last year, so our price effect is around two points positive. Versus three to four points positive last year. What you see probably in the way you are calculating maintenance and repair are growing 3% versus portfolio growing 4%. There is one point of mix effect from price into maintenance, and repair was relatively muted in the quarter. Repair was growing low single digit, it's a matter of timing of execution of the backlog. The backlog continues being very strong. The demand is there. Organization was very focused on transformation. We've had organizational changes. That has delayed execution a little bit, but we are planning to accelerate in Q2.
Judy Marks: And let me just finish that one off with the repair backlog is up 5%. So we have really good line of sight. There's work to be done, and it's on us to convert that.
Amit Mehrotra: Very good. Okay. Thank you very much for answering my questions. Appreciate it.
Operator: Your next question comes from the line of Nigel Coe of Wolfe Research. Your line is open.
Nigel Coe: Thanks. Good morning. Thanks for the question. I think Amit got four questions in there, so that was a good job.
Judy Marks: That's what I counted, Nigel. That's what I there was, like, one and three follow-ups.
Nigel Coe: You got it through pretty quickly. So I'll keep this to two questions. Just Cristina, can I go back to the tariff math because I'm a little bit confused? So apologize for maybe just, you know, retreading. The $90 million from China, I think you said $100 million of imports from China into the US. With the reset, I get $145 million of annualized impact plus, you know, whatever the 232 is. So is the $90 million on slide thirteen, is that the pro rata for this year or was that net of mitigations? Just trying to understand that number.
Cristina Mendez: No. No. So, Nigel, let me give you some additional color so you can make the calculation. So $100 million is annual purchases from China. The annual impact from tariffs coming from those purchases is $90 million. On an annual basis. This is because of the mix of 232 that has lower rate versus reciprocal that has higher rate. Full year will be $100 million. Our point estimate for in-year 2025 is $60 million. That is three quarters of a full year plus mitigation actions that, of course, this year are more muted because time of execution and time of moving through the backlog. Once we go through the backlog and we start converting the new orders, the impact will be much more smaller.
Nigel Coe: Okay. No. That I think that's clear. And then just my follow-on is on the ten basis points of all in, you know, OMX for this year. Just wanna make sure that we're doing the math correctly. So it looks like new equipment margins may be down to about 4% or so, 4.9%. Service segment margin expansion about 40 to 50 basis points year over year. Is that about the right, Matt?
Cristina Mendez: Yeah. So in our new outlook, we have reduced the beeps expansion to ten points. Versus sixty points before. There is a component of that is, so that is ARR fifty basis point of that is will be the increase. So that is our forty basis points of the reduction. On the other side, we are doing very well in the equipment cost out. You have seen a strong Q1 the margins were 5.7%. Sequentially, one hundred basis points up versus the margins we had in the equipment in Q4. So we are confident we'll be able to compensate part of the tariff impact in the rows of new equipment thanks to our transformational and cost out actions. On the service side, we'll have the remaining ten basis points reduction of Ross. Service is growing. It's continually growing, probably a little bit lighter compared to last year, because of two effects. One is the mixing cells. So repair will grow mid to high single digit. Versus high single digit last year. And we are accelerating more. And on the other side, we are also investing in service. This is an intentional investment on service excellence in order to accelerate portfolio growth and to improve retention rate in the midterm.
Nigel Coe: Okay. So sorry. When you say ten business reduction to service, you mean ten basis points relative to the previous forecast?
Cristina Mendez: Correct. Correct.
Nigel Coe: Okay. Okay. Great. Thank you.
Operator: Your next question comes from the line of Steve Tusa of JPMorgan. Your line is open.
Steve Tusa: Hi. Good morning.
Judy Marks: Morning, Steve.
Steve Tusa: Congrats on the milestones. Been through a lot over that time period. But very consistent performance. Just on the services side, the revenue growth there, was, you know, I think 4% in the organically in the quarter, and your portfolio units obviously are still trending pretty nicely in that range. So like, was that the impact of repair the repair business? What drove that? Because I assume you got a little bit of price as well.
Judy Marks: We did get a little bit of price, Steve, but it was absolutely all repair. As Cristina mentioned, you know, as we ended last year, you saw our retention rates had gone down to 92 and change. And we weren't satisfied with that. We know that the importance of this flywheel is growing the portfolio, and the most important part of that is retaining our current customers. They're our best profit sources, but more importantly, they are our annuity business, and that's what we're in business for. So we've actually, you know, refocused in this quarter for what we call service excellence and that will continue through the year to drive improved retention rates. That was some investment we made consciously. And we also were rolling out some of the uplift organizational changes simultaneously. So the backlog is there. As I said, it's up 5%. You're gonna see revenue on repair and the backlog conversion step up every quarter. To where we should have while it won't be exactly the same as last year, we'll see better repair growth rates in revenue quarter after quarter as we go through the rest of 2025. But that was the reason.
Steve Tusa: Okay. And that's kinda how you accelerate that number? Going forward? Is it repair?
Judy Marks: Yeah. Okay. It really is. And, you know, it's it if you recall on the last call I talked about us adding, you know, so many more field professionals. We've seen them pick up in terms of their learning curve and I think you see that really from productivity reflected in the service margin being up 40 basis points at 24.6% this quarter. So we're confident it was the right move for the future. Now we've gotta get it tuned more to repair and to work that backlog.
Steve Tusa: Alright. I don't wanna get on Nigel's bad side, but I do have one more question on China pricing. What is kind of the do you think is the prevailing, you know, price year over year that's going on there in the market? And I assume you guys are staying more disciplined than that.
Cristina Mendez: Steven, price is moderating. Last year, you may recall that price in China was down 10%, and we are very disciplined in our pricing strategy, focusing our investments in those projects that have higher conversion likelihood. China in the quarter was down 6%, but sequentially two points down only. And this is a portion that we are very confident we can compensate with cost out. What a strategy for China new equipment this year is price cost neutral.
Steve Tusa: Great. Thanks a lot.
Operator: Your next question comes from the line of Joe O'Dea of Wells Fargo. Your line is open.
Joe O'Dea: Hi. Good morning.
Judy Marks: Morning, Joe.
Joe O'Dea: Can you touch on the Americas new equipment outlook a down mid-single versus down low single and touching on some project delays. I'm just we think about it, I think normal course of business, a lot of the activity for the year is in backlog to start the year. And so if you're seeing some delays there, just any color on verticals that that's happening, maybe the size of projects where you're seeing some of that happening, and to what degree, you know, that's a fluid dynamic. And so the risk that we see more delays before we see fewer.
Judy Marks: Yeah. I like your term fluid. I think that's pretty accurate. You know, as we came into 2025, our North America new equipment market had two really the market itself had had, in the second half of last year, two really good quarters. But in the first quarter, the market itself in North America was down 9%, mainly low and mid-rise and commercial and infrastructure were down almost double digit. You see our performance though not reflect that in terms of new equipment orders. We were up as mid-teens for North America. So which means our team really did well on share in the first quarter. I think that's a combination of, again, customer centricity, the right products, and strong relationships and performance. As you think about if you go back in time, Joe, you know, we were our orders were down before the second half last year. And that's what's flowing through our backlog right now. We got we have about 18 months line of sight in North America. So we're working through that backlog still from 2023 and the first half of 2024. And so we think that'll sequentially improve over time. Because our late 2024 orders were strong. And our first quarter 2025 was strong. So we're on the upside of the pendulum, but it hasn't rolled through our backlog yet or revenue yet. In terms of the uncertainty, you I think you are you're one of the people who publish the ABI this morning, coming out again fairly low at 44.1, down from 45.5 in February. So the architect's activity, I think, is reflecting this just uncertainty. That we experienced, you know, a year ago because of inflation rates. And I think right now, everyone's just really trying to understand what would construction costs look like beyond just Otis Worldwide Corporation and the elevator. In terms of labor, in terms of any other supply, lumber, but especially steel and aluminum. So I think all of that is kind of weighing on decisions in the US and Canada. But we are gonna control what we can control and stay focused. We've got a good backlog to execute. As I said, the past three quarters now counting first quarter 2025, our orders were up. And we're gonna continue the strength you've seen. And I have high expectations for our team. I will tell you, you know, the mod orders for Americas, I anticipate a strong second quarter. We had some major projects that got awarded but not yet booked. And we're gonna see mod sales for the Americas upload teams. For the year. So you're gonna see some strong offset there they're gonna be working on their repair backlog just like everybody else.
Joe O'Dea: And maybe just to follow-up on that last point because it's kind of interesting. You maybe a little bit of a delays that you could see on the new equipment side, you know, mod side, less so. Would think that there's still a discretionary element to the mod side. And so how you parse the difference there. It's just a matter of the cost there a little bit better known, and so it's not as much a risk across labor and materials and all the unknowns that could affect new projects. Or efficiency gains, but, you know, why you could see a little bit more kind of strength on the mod side than the new equipment side.
Judy Marks: Yeah. So mod is there there is an element of discretion to it. Until your elevator breaks down so much that your tenants or your residents are so frustrated that they don't want continued shutdowns and repairs. Again, I think that's still contributing to the repair backlog today. But it's just another steady quarter of mod growth. We grew mod orders 12% but the backlog's up 14%, and the revenue was up 10%. So we need to convert more mod. So we've got plenty of work there. I'm not worried about that from a concern. And then outside of North America, we're still seeing safety programs. In Spain and other places, which do not make mod discretionary, but for, you know, require building owners to bring their elevators up to the most current safety codes. Mod in China, it's early days. But, again, double-digit growth in orders significant. I shared we doubled the growth in the fourth quarter, it's double-digit this quarter. We're seeing sustained growth there, and we're seeing sustained investment from the Chinese government for residential mod and we expect that to continue not just through this year, but going forward.
Joe O'Dea: Thank you. Appreciate all the color.
Operator: Your next question comes from the line of Julian Mitchell of Barclays. Your line is open.
Julian Mitchell: Hi, good morning. Maybe just a first question to try and understand kind of some of the year-on-year dynamics a little bit better in terms of the guidance for the rest of the year. So I think organic sales in the quarter, you were sort of flattish. The year's guided up. Call it three. So is that acceleration year-on-year just kind of steady each quarter through the year? And then on the margin front, you know, you're up 40 bps in Q1 year-on-year. Including tariffs, it's, you know, barely up. So is it sort of inclusive of tariffs that the framework is margins, you know, up 40, 50 bps in the first half and then down year-on-year in the second half. Is that sort of the rough framework we should be thinking about?
Judy Marks: Yeah. Let me start with the revenue and then Cristina will take you through the margins, Julian. But, listen, our whole business is based on a strategy of consistent, resilient, steady performance. And that's what you're gonna see in the top line the rest of the year. You can expect it to be fairly steady, Q2, Q3, Q4 but obviously better than Q1 as we accelerate conversion in repair as well as accelerate conversion in mod, which is why we took up our sales outlook in modernization to be up low teens. Maintenance and repair, it's still mid-single, but it's a little better mid-single is probably the best way to say it because we've got to, again, make up for this first quarter. But we're confident we've got the backlog in every line of business and you should see it flow through relatively equitably each of the quarters.
Cristina Mendez: Yeah. And, Julian, on the margin, I can give you color per segment. That is a better way to understand the margin evolution. So on the new equipment side, sales will decline in the first half of the year because of the declining backlog. At the end of last year, but we started growing orders in the second half in Americas, and the compare gets better from a sales perspective. As we execute a better backlog in the second half of the year. From a margin perspective, we had a new equipment, a very strong margin in Q1, we expect additional actions from cost out to help margin on the other side, as we convert the backlog from China, that is lower and with lower price. And as tariffs kick in, starting in Q2, this is going to create some headwinds in margin. That's why our full-year guide has been adjusted to ten basis points which would be fifty basis points expansion excluding tariffs. So, of course, tariffs have an impact. Now moving into service, Service is going to accelerate starting in Q2. We expect service top line to grow Q2 at the midpoint of our guide that is 6%. And this will continue accelerating both in repair and modernization in the second half of the year. Margins will gradually expand. You need to consider that Q2 last year was a very difficult compare for us because margins expanded in service 110 basis points. So probably on Q2, we'll have a tougher compare. But margins will get better BPY in the second half of the year. So in a nutshell, for operating profit rows, it will be around flattish margins first half of the year growing ten basis points second half of the year.
Julian Mitchell: That's very helpful. Thank you. And then just a quick follow-up. You know, when we're thinking about that tariff effect and obviously has been touched on a couple of times. But is the right way to think about it, it's kind of, you know, $60 million dialed in. That does include some mitigation efforts. You know? So in that sense, it's a net number, but there's also kind of more work that could be done, more price that could be pushed, or other mitigating efforts. Is that the right way to think about it? So it's sort of a place initial placeholder, and then you can work to shrink it down?
Judy Marks: Yeah. And that's really why we gave the range, Julian, is we are not stopping whether it's by job, whether it's by customer, whether it's even, you know, having some supply receiving from China, standing that up in the US. So and that can happen later in the year. But this was the best, most transparent estimate we had as of today. And we wanted to make sure that we shared it.
Julian Mitchell: Sounds great. Thank you.
Operator: Your next question comes from the line of Chris Snyder of Morgan Stanley.
Chris Snyder: Thank you. Maybe just following up on that. You know, is there any way to think about the quarterly cadence of that, I guess, just take the midpoint, you know, the $60 million tariff net impact I would assume that over time, it's minimized that you guys are able to mitigate it. And then just ultimately, what does that mean as we're looking into 2026? Could that be a zero, or should we expect still some level of headwind into next year? Thank you.
Judy Marks: Yeah. Chris, our experience in 2018 was about a little over $10 million that we couldn't mitigate in the backlog. And then as we work through the backlog, we were able to mitigate it. And we are still paying section 232 and 301 tariff from 2018. Those have been in play since then, but they're incorporated in our price and they have no impact on our bottom line. I think you can expect the same here except we still have to work through the backlog in part of 2026. Assuming nothing else changes. We can put more mitigation in place, but, you know, our backlog in North America lasts about 18 months. Obviously, the longer out, we, you know, further out, we'll continue to work to mitigate. I think it's fair to expect if nothing else changes, we'll get back to you. But we think there could be an impact a small impact, you know, in 2026.
Chris Snyder: Makes sense. And appreciate that. Just maybe following up, you know, kind of bigger picture. There's been, you know, certainly more optimism around the European and China economy as, you know, through the first three, four months this year relative to last year. You know, the new equipment orders in the regions, you know, for you guys were still under pressure. But are you seeing anything, you know, any green shoots or just, you know, kind of conversations with customers that give you optimism that those regions are, you know, returning to a better place of growth? Thank you.
Judy Marks: Chris, I think I was a contrarian a few quarters ago. Where I've consistently been not just proud of our EMEA team, but seeing our ability to grow both in Europe and the Middle East. We do this by focusing on market segment. We do this by adding sales reps. We do this through a variety of focus strategies. That has allowed us to really have some strong both growth in Europe and backlog. This quarter, there's a one-time compare. So even though EMEA is down 4%, the team performed very well. This was all before the German infrastructure projects were announced. So we remain upbeat. We think we have a great product offering in new equipment across Europe. Our Gen 360 is selling extremely well. And is becoming a much larger impact in our broader product portfolio. We've now moved it to many other countries, but it was designed and started in Europe. And in the quarter, actually, we did see strength on new equipment orders. In Western Europe, Central Europe, and especially in the Middle East. Total sales, EMEA was up mid-single digit and mod orders were in the teens again. So our team's performing well in Europe. On China, I think it's really important for everyone to understand the strategy we've been executing and what that means. Our China revenue for the first quarter we ended last year, 13% of Otis Worldwide Corporation's total revenue was China. First quarter, we're now down to 10% of Otis Worldwide Corporation's total revenue is in China. And we ended last year with about 30%, maybe a third of our China business being serviced. We ended the first quarter at 40% of our China revenue being serviced. So we have been going through this shift. Now service includes maintenance repair and mod. We have been going through this paradigm shift where it's the reason we transformed our organization. It's behind our strategy is to become a more service-driven business in China and treat China as a mature market and not have as much dependency on new equipment. And again, I think at 10%, and 20 excuse me, at 40% of service, I think we've shown that. On new equipment, China is now 17% of our new equipment business. Which was 24% at year-end. So, again, executing our strategy, Sally and the team are driving this. It's a very tough environment. It's a competitive environment. But that's why we knew we needed to become more of a service-driven company as we do that. As we grow our service portfolio in China, which is now up again with the fourteenth straight quarter of teens growth in China. As we do that, we'll get the density. We'll get more margin expansion over time.
Chris Snyder: Thank you, Judy. Appreciate the perspective.
Operator: Your next question comes from the line of Nick Housden of RBC Capital Markets. Your line is open.
Nick Housden: Yes. Hi, everyone. Thanks for taking the question. I just have one last. I was hoping you could just discuss some of the one-off costs that you have in operating profit beyond the restructuring programs that you've previously communicated? Because, you know, I calculate over $80 million of extra cost in there, so it's a pretty big number. Just to get to understand a little bit better what those are, what the cash impact is likely to be, and whether we should take anything in here for Q2. Thanks.
Cristina Mendez: Yeah. No. And it is a it's the right calculation. So in addition to the $18 million, you have calculated, we have approximately $66 million regular restructure and at least transformation cost. That is in the ballpark of our guide of $250 million in the year. So this is kind of one quarter of the $250 million. In addition to that, we have approx $80 million one-timers that are adjusted from our operating profit, but you can see in GAAP operating profit. So the biggest one is $52 million related to a tax case in Germany. You may recall that in Q3, we recognized and we also adjusted, but we're recognizing GAAP. It $200 million positive in interest, $180 million positive in tax receivables. And a negative of $194 million above the line related to the indemnification to RTX because this is related to the three separation time. After that, we have received additional information from RTX and we have toed up the amount by $52 million, and this is the number that you see in GAAP in Q1. We continue discussing with RTX the scope of the indemnity and we don't expect any cost we receive from the German authorities until the second half of the year. It will start gradually in the second half. Additionally, we have $21 million legal and settlement costs coming from a few large cases that have settled in the quarter from the past. And, additionally, we have $10 million of a cell for cell impairment. This also is linked to a provision we booked in Q3 when we put the assets and the liabilities of one of our non-US subsidiaries classified as Head For Shell. We are in the process of completing this transaction. That's why we have to do that. And we expect the transaction to be closed in the next months.
Nick Housden: Right. Very much.
Operator: That concludes the Q&A session. I'll now turn to Judy Marks for closing remarks.
Judy Marks: Thank you, JL. As we navigate economic uncertainty, the strength of our service-driven business positions us well to continue to deliver continued earnings growth in 2025. Longer term, we're confident that our strategy will continue to drive attractive returns for our shareholders. Thank you for joining us today. Stay safe and well.
Operator: This concludes today's conference. Thank you for joining. You may now disconnect.